Operator: Good afternoon, ladies and gentlemen, and welcome to Sanmina's Second Quarter Fiscal 2025 Earnings Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Monday, April 28, 2025. I would now like to turn the conference over to Paige Melching, Senior Vice President of Investor Communications. Please go ahead.
Paige Melching: Thank you, Constantine. Good afternoon, ladies and gentlemen, and welcome to Sanmina's second quarter fiscal year 2025 earnings call. A copy of our press release and slide for today's discussion are available on our website at sanmina.com in the Investor Relations section. Joining me on today's call is Jure Sola, Chairman and Chief Executive Officer.
Jure Sola: Good afternoon.
Paige Melching: And Jon Faust, Executive Vice President and Chief Financial Officer.
Jon Faust: Good afternoon.
Paige Melching: Before I turn the call over to Jure, let me remind everyone that today's call is being webcasted and recorded and will be available on our website. You can follow along with our prepared remarks in the slides provided on our website. Please turn to Slide 3 of our presentation and take note of our Safe Harbor statement. During this conference call, we may make projections or other forward-looking statements regarding the future events or the future financial performance of the company. We caution you that such statements are just projections. The company's actual results could differ materially from those projected in these statements as a result of factors set forth in the Safe Harbor statement. The company is under no obligation to and expressly disclaims any such obligation to update or alter any of the forward-looking statements made in this earnings release, the earnings presentation, the conference call or the Investor Relations section of our website, whether as a result of new information, future events or otherwise, unless otherwise required by law. Included in our press release and slides issued today, we have provided you with statements of operation for the second quarter ended, March 29, 2025, on a GAAP basis as well as certain non-GAAP financial information. A reconciliation between the GAAP and non-GAAP financial information is also provided in our press release and the slides posted on our website. In general, our non-GAAP information excludes restructuring costs, acquisition and integration costs, non-cash stock-based compensation expense, amortization expense and other unusual or infrequent items. Any comments we make on this call as they relate to the income statement measures will be directed at our non-GAAP financial results. Accordingly, unless otherwise stated in this conference call, when we refer to gross profit, gross margin, operating income, operating margin, taxes, net income and earnings per share, we are referring to our non-GAAP information. I'd now like to turn the call over to Jure.
Jure Sola: Thanks, Paige. Good afternoon, ladies and gentlemen. Welcome and thank you all for being here with us today. First, I would like to take this opportunity to recognize Sanmina leadership team and our employees for doing a great job. So to you, Sanmina's team, thank you for your dedication and delivering excellent service to our customers. For the second quarter of fiscal year 2025, we delivered solid revenue of $1.98 billion and non-GAAP EPS of $1.41 per share. Again to Sanmina employees, thank you, and let's keep it up. Now let's go to our agenda for today's call. We have Jon, our CFO, to review details of our results for you. I will follow up with additional comments about Sanmina results and future goals. Then Jon and I will open for question and answers. And now I'd like to turn this call over to Jon. Jon?
Jon Faust: Great. Thank you, Jure, and good afternoon, ladies and gentlemen, and thank you for joining us here today. Before I review our results for the second quarter, I want to acknowledge the entire Sanmina team for their hard work, dedication and support. The team has been agile in supporting our customer needs in a very dynamic environment and has executed well while doing so. Jure and I, and the rest of the Sanmina’s management team appreciate the effort and thank you for delivering a solid second quarter and a great first half of fiscal 2025. Now please turn to Slide 5, where I'll speak to the financial highlights. We're very pleased with our second quarter results, which as you can see, either met or exceeded all of our outlook commitments. Our revenue of $1.98 billion and our non-GAAP operating margin of 5.6% each came in towards the high end of our outlook. Also, our non-GAAP gross margin of 9.1% and our non-GAAP diluted earnings per share of $1.41 each exceeded our outlook. These results, combined with what we delivered in the first quarter, puts us on a solid trajectory for the fiscal year and sets us on the right path towards achieving our long-term financial goals of driving growth and expanding margins. Now please turn to Slide 6, where I'll speak to the P&L performance for the second quarter. As I just mentioned, we delivered revenue of $1.98 billion, which was up 8.1% compared to the same period a year ago. This was primarily driven by growth across the majority of our end markets, which Jure will speak to in more detail as a part of his prepared remarks. Non-GAAP gross profit was $181.3 million or 9.1% of revenue, up 20 basis points compared to the same period a year ago. This was driven by favorable mix, as well as operational efficiencies. Non-GAAP operating expenses were $70.7 million, above our outlook as we continue to make targeted investments to drive future growth. Non-GAAP operating income was $110.6 million or 5.6% of revenue, up 20 basis points compared to the same period a year ago, driven by growth, mix and focused execution. It's important to note that our non-GAAP operating margin continues to be in line with the 5% to 6% short-term target range that we have previously communicated. Non-GAAP other income and expense was $3.2 million of net expense favorable to our guidance driven by our strong cash flow results. Non-GAAP diluted earnings per share came in at $1.41 based on approximately 56 million shares outstanding, which was up 7.8% compared to the same period a year ago. Now please turn to Slide 7, where I'll speak to the P&L performance for the first half of fiscal 2025. Revenue for the first half was up 7.6% compared to the same period a year ago. This growth was driven by strong performance across the majority of our end markets, but with particular improvement coming from the Communication Networks and Cloud Infrastructure end markets. Non-GAAP earnings per share for the first half was $2.84, up 8.8% compared to the same period a year ago. As we mentioned on our prior call, we expect fiscal 2025 to be a growth year and our results for the first half represents a solid start towards achieving that objective. Now please turn to Slide 8, where I'll speak to the segment results. IMS revenue came in at $1.60 billion, up 9.8% compared to the same period a year ago, driven by growth in the majority of our end markets, but primarily in the Communication Networks and Cloud Infrastructure end markets. IMS non-GAAP gross margin was 7.7%, which is flat when compared to the same period a year ago. CPS revenue came in at $411 million, up 3.3% compared to the same period a year ago, driven by higher demand in most of our end-markets. CPS non-GAAP gross margin was 13.9%, up 100 basis points compared to the same period a year ago, driven by favorable mix and operational efficiencies. We're pleased with the performance of the IMS and CPS businesses this quarter, but there is still room to improve in terms of both revenue growth and margin expansion, which we will continue to focus on going forward. Now please turn to Slide 9, where I'll speak to the balance sheet highlights. We maintained a very strong balance sheet in the second quarter. Cash and cash equivalents were $647 million. At the end of the quarter, we had no outstanding borrowings on our $800 million revolver, leaving us with substantial liquidity of approximately $1.5 billion. We ended the quarter with inventory, net of customer advances of $1.2 billion, which was down 8% in absolute dollar terms compared to the same period a year ago. Inventory turns, net of customer advances improved to 5.9 times for the quarter as compared to 5.0 times in the same period a year ago. While we were pleased with these results, there is still room to improve. Our non-GAAP pre-tax ROIC was 23% for the quarter, well above our weighted average cost of capital and an improvement from the 22% from the same period a year ago. We continue to have one of the strongest balance sheets in the industry with no net debt and a low gross leverage ratio of 0.48 times, which puts us in a great position to execute on our strategy while navigating the uncertainty of the current macroeconomic environment. Now please turn to Slide 10, where I'll speak to the cash flow highlights. As a result of the team's disciplined working capital management, our second quarter cash flow from operations came in at a solid $157 million, which equates to $221 million for the first half. Capital expenditures were $31 million for the quarter, in line with our outlook and were $48 million for the first half. As I've mentioned before, we will continue to make strategic investments in the technology and capabilities needed to strengthen our position in the market and to support our long-term financial objectives. To that end, in the second half, we expect to make targeted investments in both capacity and technology across the U.S., India and Mexico geographies. As such, on a full year basis, we now expect capital expenditures to be approximately 2% of revenue. Free cash flow was $126 million for the quarter and $173 million for the first half. During the quarter, we repurchased approximately 1.03 million shares for approximately $84 million. As of March 29, 2025, we had $253 million remaining on our share repurchase program. Our strong cash flow performance gives us the flexibility to continue to invest in the business and return capital to our shareholders, all through a disciplined and balanced capital allocation approach. Now please turn to Slide 11, where I'll cover our outlook for the third quarter. Our outlook is based on the forecast from our customers and takes into account market uncertainty due to tariffs and the current geopolitical landscape. Our third quarter outlook is as follows. We expect revenue between $1.925 billion to $2.025 billion, which at the midpoint of $1.975 billion puts us up 7.3% compared to the same period a year ago and up 7.5% on a year-to-date basis. Non-GAAP gross margin of 8.6% to 9.0%, dependent on mix. Operating expenses of $62 million to $66 million. Non-GAAP operating margin of 5.4% to 5.8%. We expect other income and expense to be a net expense of approximately $6 million. A tax rate of 20% to 22%, consistent with last quarter. We estimate an approximate $4.5 million non-cash reduction to our net income to reflect our India JV partners' equity interest. Non-GAAP EPS in the range of $1.35 to $1.45 based on approximately 55 million fully diluted shares outstanding. At the midpoint of $1.40, that would put us up 12% compared to the same period a year ago and 10.4% on a year-to-date basis. Capital expenditures to be around $50 million, and finally, depreciation of approximately $30 million. In summary, while considerable uncertainty around tariffs remains, at this time, we believe we are well-positioned to navigate the current market environment and we expect revenue to grow between 6.0% and 8.0% on a full year basis. With that, let me turn the call over to Jure.
Jure Sola: Thank you, Jon. Ladies and gentlemen, let me add a few more comments about our results for the second quarter and the rest of the fiscal year 2025. Now please turn to Slide 13. As you heard from Jon, our team delivered solid execution and excellent service to our customer despite being in a very dynamic environment. Revenue, gross margin, operating margin and non-GAAP EPS were either met or exceeded our outlook. I can also tell you that our customers' inventories continue to come down, as we're starting to see more opportunities in the pipeline. Even in this geopolitical environment, our customers are still positive about future opportunities and their growth. To talk more about it, please turn to Slide 14. Let's look at the revenue by end markets for the second quarter. Industrial, Energy, Medical, Defense, Aerospace and Automotive came in at $1.251 million. That grew approximately 2.1% year-over-year. Percentage of the revenue in this segment was 63% overall. For Communication Networks and Cloud Infrastructure, we delivered $733 million for the quarter that was very strong, up 20.3% year-over-year, that consists of 37% of our revenue. For the second quarter, total revenue of $1.984 billion, we delivered another solid quarter, up 8.1% year-over-year. Top 10 customers for the quarter was 51% of our revenue. Bookings book-to-bill came around 1:1, as we continue to see solid, I call it stable demand. As you can see, we are a well-diversified company. We continue to see positive trends for the fiscal year '25 and beyond. As I mentioned, Industrial, Medical, Defense, Aerospace, Automotive is 60% -- 63% of our revenue. So let me talk about more details in each of these segments. Industrial and Energy is approximately 23% of our revenue. We see solid customer base -- we have solid customer, great opportunities around energy, power controls and management system, strong demand from safety equipment, and we see exciting new projects in our pipeline. Medical is approximately 20% of our revenue right now. We see stable demand driven by medical devices around digital health, we do have strong customer-base here that is well-diversified within the market and we're starting to see positive trends for the future. For Defense and Aerospace, Automotive and Transportation, that segment for us is around 20% of our revenue. We continue to see solid demand from critical defense projects including Sanmina Defense products. We are growing and expanding advanced printed circuit boards fabrication business for this segment. We are also expanding precision mechanical system for Defense and Aerospace business, and we are well-positioned in this market. For Automotive, short-term, it's challenging market. But I can tell you that this segment around our customer base grew double-digits year-over-year for the second quarter. So what we see for this segment, we expect to see stable growth short-term and solid market opportunities longer-term. Communication Networks and Cloud Infrastructure is approximately 37% of our revenue. We see positive trends for high density, high performance network. So continue to see solid demand for high performance routers and switches, optical network systems, optical advanced packaging and enterprise storage. Driven both by cloud and service providers, cloud providers require large-scale networks and Sanmina is well-positioned for this segment. AI requirements continue to evolve at a rapid pace and is driving technology advancement. We are expanding our capabilities to meet present and future demand. Our goal is to provide industry-leading capabilities from design to full system end-to-end solution for the data center and cloud infrastructure. What we do today, we produce high technology printed circuit boards for this segment. We assemble these boards, subsystems and full systems. We provide mechanical racks and enclosures, we are expanding our liquid cooling rack systems. We continue to manufacture cooling manifold for racks. We continue to manufacture bus bars for racks. We also have ODM products around our service and storage systems. We deliver custom memory and custom optical modules. And I can tell you, we are expanding organically to fill -- to full system integration and test. Also, I can tell you that we will continue to invest in this key market to drive future growth. Please turn to Slide 15. Let me add a few more comments about fiscal year '25 outlook. While we continue to manage through very dynamic environment, we remain focused on operational execution, customer satisfaction, cost management and consistently delivering value to our customers. With that said, I'm very pleased with our performance for the first six months of the fiscal year '25, as revenue was up 7.6% compared to the same period a year ago. We are growing non-GAAP EPS and generating strong cash flow, as you heard from Jon. Based on our results for the first six months and our outlook for the third quarter at the midpoint, this puts us on a track to deliver nice growth in fiscal year '25. We expect to see growth to come from new and existing programs and we are adding new customers with the higher margin opportunities. Short term, operating margin will be stable at the range 5% to 6%, and long term for our business model, we expect to deliver operating margin of 6% plus. Again, for the fiscal year '25, we remain focused on our strategy, investing in a faster-growing and higher-margin end markets. Please turn to Slide 16. Now let me talk to you about our favorite topic. It's called tariffs. With tariffs, uncertainty remains. As you know, tariff situation is not unique to Sanmina. But as the geopolitical situation continues to involve, our ability to be agile and responsive will be key to our customers' success. We have well-established materials, supply chain and trade compliance team with seasoned professionals dedicated to navigate these complex trade requirements. We are taking proactive approach and actively working with our customers to support their involving needs. And our single IT system is agile and responsive to our customer requirements. As a reminder, while tariffs may have an impact on our customers' demand, any changes in tariff costs are passed through our customers. To meet customer needs in this environment, our global regional footprint is strategically aligned to provide global solution. We have industry-leading established capacity in the United States. Please turn to Slide 17 to talk more about our global structure. As you can see on this map, Sanmina has a global regional manufacturing footprint. I believe it is industry-leading, lean and flexible. As our customers evaluate where they want their products manufactured, Sanmina has capacity in the United States and in other geographies to provide local solution. As you can see, we're well-diversified by the regions, again, very strong here in North America, specifically in the United States. Our global and regional manufacturing footprint, agile and responsive IT systems and our strong balance sheet are key competitive advantages for us in supporting our customer in times like these. Please turn to Slide 18. In summary, ladies and gentlemen, our manufacturing footprint is well aligned with our customer requirements. We are focused on the key markets to drive profitable growth. We continue to generate cash to fund the business using a disciplined ROI approach. We remain focused on fundamentals and future financial performance. Sanmina continues to be a partner of a choice with our top customers and market leaders. We'll continue to execute on our strategy as evident in the progress we have made in our financial results. Again, in this dynamic environment, we are on the track to grow revenue, expand margins, grow EPS and generate strong cash flow in fiscal year 2025. Ladies and gentlemen, now I would like to say thank you to all for your time and your support. Operator, we are now ready to open the lines for question and answers. Thank you.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Ruplu Bhattacharya from Bank of America. Your line is now open.
Jure Sola: Hi, Ruplu.
Ruplu Bhattacharya: Thank you for taking -- Hi, Jure. Thanks for taking my questions. First, starting on tariffs, did you see any pull-forward of demand in fiscal 2Q ahead of the potential tariff increases? And have any of your customers ask you to move manufacturing around to different regions?
Jure Sola: First of all, personally, I don't have the really data to say there was anything major moved around during the quarter because our customers are confused just as much as I am and I'm sure you are too, what's going on. But yeah, we had a lot of discussion with our customers, what are the options if these tariffs basically come real. But the good things, we now have some time here to figure out as I mentioned, I think from Sanmina's point-of-view, we have a great global footprint to service our customer locally and then offer among global support to minimize the impact of them. As I said, these tariffs can be very high and this can impact our customers, not just for short-term, but the long-term. So we're very sensitive to this. We are working with our customer and we have various scenario if something change. But I can tell you, overall, nothing major really has been changed in the last 90 days.
Ruplu Bhattacharya: Okay. So as a follow up, it looks like when I look at what you said about fiscal '25 revenues growing, I think Jon talked about 7% year-on-year growth at the midpoint. I think you said 6% to 8%. So just using that, that would imply like around 6% year-on-year growth for fiscal 4Q using the midpoint of your guidance for fiscal 3Q. Are you seeing any slowdown in demand in fiscal second half of '25 or any thoughts on -- have you seen any change in customer buying behavior or are you just being prudent in the guidance?
Jure Sola: I think we're more prudent right now in the guidance what we see with all these dynamics that are happening in today's environment. Our demand and the programs that are coming up are very exciting. So longer term, unless something really falls off of the cliff in a geopolitical issues, I think we are well-positioned to continue to see the growth. We also had a one program, Ruplu that was a major program that got pushed out for redesign. It's going to come back on aboard the end of September, early October. But that happens all the time. So we still have to -- very optimistic about our fourth quarter, but in this environment, it's one quarter at a time. But for a year, we're going to have a good year. And I think as we look at '26, '27, there's a lot of exciting opportunities. And that's one of the reasons we are continuing to invest more now for the future and expanding in certain regions, especially India for data center. We are also putting more capacity for data center here in North America. So both on a full system and at the component level from a printed circuit boards, mechanical racks and etc.
Ruplu Bhattacharya: Okay. That's helpful. If I can ask a question on inventory, it looks like gross inventory dollars were up 9% sequentially. What drove that and how should we think about working capital trend and cash flow and uses of cash for the rest of the year?
Jure Sola: I'll turn you over to my CFO. I think he is better in numbers than I am, so.
Jon Faust: Yeah. Thanks for the question, Ruplu. So we really look at it on a net basis, so the gross inventory net of customer advances. And if you look at that on a year-over-year basis, we improved quite a bit. Now that was to the compare last year where we're working through inventory absorption. Now if you think ahead to Q3 on a sequential basis, a little bit of movement there, but it really is starting to build our inventory stockpiles to support the future growth. So we see that as positive. But what we're really focused on this quarter was just that year-over-year improvement and continuing to see that progress. Now going forward, as I mentioned in my prepared remarks, and we said that there's still room to improve in inventory. I quoted net inventory turns of 5.9 times. We've said in the past around 6 times or so is a good place to be. So we're pretty pleased with the 5.9 times, but we still think there's some progress. But to Jure's point about new programs coming on board, as we see that, we'll put the necessary inventory in place to support that growth.
Ruplu Bhattacharya: Okay. That's helpful. If I can squeeze one more in. In the communications end market, Jure, I think you talked a little bit about demand. Can you help us rank order like which was strong, which was weak in terms of optical versus routing switching versus wireless? How are you seeing demand trending because networking was going through an inventory correction. Are you seeing anything positive? And how are you seeing these three things, optical routing and wireless coming back?
Jure Sola: First of all, on inventory, as I mentioned in my prepared statement, inventory is definitely coming down. We are almost close to the normal. We have a few customers that still have some inventory in the pipeline, but I can see the light end of the tunnel, talking to them that's disappearing. For communication, as you know, was very strong for this quarter year-over-year 20% up. I would say that the high end routing, routers, switches that was pretty strong. Also, optical networks was strong, coming back optical packaging and across the board, it was a very good quarter. As I look at the future, I see that to continue to be strong at least for when I said at least for at least next couple of quarters and then we'll see one quarter at a time. But definitely we see upside driven by both the service sector and also the data centers.
Ruplu Bhattacharya: Okay. Thank you for all the details. Appreciate it.
Jure Sola: Thanks, Ruplu for your support.
Operator: Your next question comes from the line of Steven Fox from Fox Advisors. Please go ahead.
Jure Sola: Hello, Steve.
Steven Fox: Hi. Good afternoon, guys. I guess, first of all, I was wondering if you can go back to the prepared remarks where you mentioned that some second half investments in capacity and technology in India, US and Mexico. Can you just sort of expand on that? What that comment is related to what you're doing more specifically? And then I had a follow up.
Jure Sola: Well, let me add a few more points to that and then Jon, you can comment on where we are really focused. If you look at India, we think there's a lot of opportunity for growth. We are -- our joint venture in India is doing well. I would say it's working perfectly to what we imagine when we put this thing together. Sanmina is fully responsible running this thing. Reliance is basically a investor partner for us. We see a lot of growth in India in next couple of years for Made in India and also for export out of India. And we see a lot of interest. Actually, if you look at the survey from our customers where we see more survey than anywhere else, any other plant around the world is India. So a lot of interest there. We have a 100 acre campus, we have, I don't know about 700,000, 800,000 square feet of manufacturing space and we are expanding that mainly around data center demand that we feel we're going to see in next 12 months, 18 months. In fact, the facility should be ready sometimes in October, November timeframe and then we'll go from there. We're doing the same thing, especially in Mexico and then also in North America. But also on top of the EMS expansion, we're also doing especially in high-technology printed circuit boards. We're adding more capacity here in North America and we're also adding fair amount of mechanical capacity. Jon, anything?
Jon Faust: Yeah. I think you covered it well, Jure. I mean just to add, Steve to Jure's comments, it's both capacity and capabilities. I mean we're building up our capabilities in that space too to take on more complex programs. And really at the end of the day, we had a pretty broad range on CapEx to-date. So far this year of 1% to 2%. So we thought with these investments coming up in the second half, it would be prudent to narrow that down and give a little bit clearer guidance, which is why I said about 2% to revenue.
Steven Fox: That's all super helpful. And then I was just curious, you've mentioned for the last few quarters now how you're looking to do more rack integration. You obviously have a lot of the pieces to that puzzle. How do you -- how can you sort of -- can you give us, one, give us an update on how you're progressing there and like, how do you sort of penetrate with cloud guys in a bigger way in what seems to becoming a pretty competitive market? Thanks very much.
Jure Sola: Yeah, Steve. First of all, we do have a ODM product around the service storage systems and we have our own design group and been around a long-time. So we have our core capabilities, we're able to really drive our mechanical business up around the racks and cooling racks, manifolds and things like that. That business is doing really well. And I wish I have more capacity there right now, to be honest with you. As we are getting more into the -- as you look at our typical EMS business, we do full system today, from basically new product to full system and distribution. One area that we've been looking at it in last year or so is expansion into the data center of -- for computing and so on. Since we're already doing a lot of networking business, optical business, I think next step for us is to do more integration on this computing and for data center and we're setting that up. We're already doing some, but we're really expanding to drive organically to the full system integration and test. And that seems like a promising for us. We'll see where it goes.
Steven Fox: Great. That's all very helpful. Thank you.
Jure Sola: Thanks, Steve.
Operator: [Operator Instructions] Your next question comes from the line of Anja Soderstrom from Sidoti. Please go ahead.
Anja Soderstrom: Hi, and thank you for taking my questions.
Jure Sola: Hello, Anja. How are you?
Anja Soderstrom: Nice progress in the quarter. I'm good. So you mentioned some new customer wins. In what area are those mainly and how is the competitive environment for those – you to win those?
Jure Sola: Could you repeat that -- you mean, repeat the question, Anja, I'm sorry, I lost you there for a second.
Anja Soderstrom: So you mentioned, you added some new customer wins in the quarter.
Jure Sola: Yeah.
Anja Soderstrom: In what area were those mainly in...
Jure Sola: It's across the board. I think, as I said, I think our energy business continued to do well. We -- I think Communication Networks and Cloud Infrastructure, that's continued to do well. And on Defense, we have some new programs, including some medical programs that are coming up. We're doing some expansion in Europe for medical products and we expect it to grow for us. So in general terms, our pipeline is very solid and across the board.
Anja Soderstrom: Okay. Thank you. And how is the competitive process for you to win those?
Jure Sola: Well, first of all, we would like to compete based on our technology that we supply to our customer, quality of the product, flexibility, speed to the market. So Sanmina, we believe we are very competitive when you look at the total technology that you get and total cost and security of supply. That's what we are known for and that's what really the value that we are investing for is that we want to be able -- that our customers can depend on us at any time, 24/7, anywhere around the world. And we earn the reputation on that by being customer centric and building that partnership by providing right solution, technology and performance.
Anja Soderstrom: Okay. Thank you. And in terms of the tariffs, in the event that they would stick and your customers would like to move their production around, how -- what is your capacity utilization worldwide?
Jure Sola: Well, first of all, we've been expanding capacity. We can take on today, it depends on our mix and which plant we -- but I can ship additional 30% based on just adding people and few pieces of equipment here and there. But also that we are adding capacity for some of the new capability and new technology, Jon, anything else?
Jon Faust: Yeah. I think just to add to that, Anja, like I was saying in my prepared remarks, like the key in this type of market environment is to be agile. And that we believe we've got a competitive advantage in just because of our breadth of capabilities across various different end markets, the geographic distribution, all of our capacity that Jure covered in his slides and just the proactive customer outreach, that's what we've been looking to do over the last several months as tariffs and all those conversations have been taking place is just making sure that we're staying connected with our customers and offering them the flexibility and the options depending on whatever they'd like to do.
Jure Sola: Yeah.
Anja Soderstrom: Okay. Thank you. That was helpful.
Jure Sola: Sorry, Anja, and I said that as we do these things, we have a longer-term plan is that, how do we monetize these investments and so on. And that's one of the -- we are excited about our long-term growth for Sanmina and also investing in some of these technology components and around AI, I think will allow us to deliver at our goal of operating margin better than 6% and accomplish the goals that we want to accomplish the next two, three years as we talked about how do we get this business from $8 billion, $9 billion to $12 billion run rate plus. So that's the plan and that's why we are 100% focused on. But again, as Jon said, it's the flexibility that we offer by providing the right technology and giving the -- especially in this environment, giving the global visibility to our customers is one of the key competitive advantages we have.
Anja Soderstrom: Okay. Great. Thank you. That was helpful. That was all from me.
Jure Sola: All right. Thanks, Anja.
Jon Faust: Thanks, Anja.
Operator: There are no further questions at this time. I would like to turn the call over to Mr. Jure Sola for closing comments. Sir, please go ahead.
Jure Sola: Thank you, operator. First of all, I want to thank you all for participating on this call. If we didn't answer all your questions or if you have additional questions, please contact us. And I'm looking forward talking to you. And most importantly, we'll talk again 90 days from now. Bye-bye.
Jon Faust: Thank you.
Operator: This concludes today's conference call. Thank you very much for your participation. You may now disconnect.